Operator: Ladies and gentlemen, thank you for standing by and welcome to The E.W. Scripps first quarter earnings report. (Operator Instructions) Now with that being said, I'll turn the conference now to Tim King. Please go ahead, sir.
Tim King: Thank you, [John], and good morning, everybody. We appreciate you joining us for this call. In just a minute I'll turn the call over to our CEO and CFO for their prepared remarks before we open up the phone lines for your questions, but first let me tell you who's with me on the call today. Rich Boehne, the President and Chief Executive Officer, will give you a brief strategic overview, followed by Tim Stautberg, the Senior Vice President and Chief Financial Officer. He'll discuss the first quarter operational and financial highlights and he'll also cover some non-operating data for you as well. Joining us then for the Q&A portion of the call are Mark Contreras, the Senior Vice President of Newspapers, Brian Lawlor, the Senior Vice President of Television, and Doug Lyons, the Vice President and Controller. Now just a couple of housekeeping items for you. If you can't stick with us for the duration of the call you can access a streaming audio replay by going to Scripps.com and clicking on the Investor Relations link at the top of the page. We'll have it there in just a few hours and we'll leave it there for a few weeks. You can also use that link to find today's press release and the quarterly financials. As a reminder, when you're reading the release and the financial tables, the results for the Scripps Networks and Interactive Media divisions are presented at discontinued operations, as they have been since the third quarter of 2008. As always, our discussion this morning may contain certain forward-looking statements and actual results may differ from those predicted. You can check Page 11 of the Form 10-K from 2008 to read some of the factors that may cause results to differ from what you're about to hear. With that, I'll turn it over to Rich.
Rich Boehne: Thanks, Tim. Good morning, everyone. Ad revenues in the first quarter were flat-out terrible. That's not unexpected or out of line with our peers, but still what we experienced in the first quarter is a real world example of what happens when a nation's economy jumps the tracks. Let's all pray America gets its mojo back soon but, in the meantime, at Scripps we intend to stay focused and work our long-term plan. And, obviously, we must be willing to cut costs, make hard decisions and endure some pain to protect our financial health. As I'll talk about later, we believe our low debt and financial flexibility is a big competitive advantage in this environment. It's a strategic asset we must protect during the depths of the recession. As you saw in the first quarter, we're aggressively revamping our cost structure. Employee compensation is being reduced in a number of ways, including straight-up salary and bonus cuts and deep reductions in retirement benefits. These cuts are wrenching. They're hurtful to our employees, but necessary for short-term financial health. These changes are also some of the first steps in a redesign of employee compensation aimed at keeping and attracting the talent we must have for future success. Although it may not look like it based on our actions during this recession, out industry's future is dependent upon its access to great talent. We also in the first quarter made one of the most difficult decisions I've ever participated in. We closed one of the nation's very best major market newspapers, the Rocky Mountain News in Denver, and we had to separate from the company a newsroom of highly talented journalists. The reason was very simple: We were losing money in Denver and we did not believe recovery was possible, particularly given the challenges of the two-newspaper partnership there in Denver. Believe me, if there had been a better option for our owners, our employees and for the market of Denver, we would have taken it. The financial damage from Denver is now contained and that greatly improves our flexibility going forward. It was a said but very necessary step toward a successful future for the rest of the company. As Tim will discuss in a few minutes, we will continue to reduce expenses as needed while we work through the economic recession. Much of what we've already done has yet to reap full benefit on the bottom line and you'll hear about that a little bit later as well. In some areas, however, we have so far protected our resources because we believe our long-term strategies for building value are more important than short-term cuts. I know it's difficult to discern, especially by looking at our current financial performance, but this is a season of opportunity for those able to gain audience and revenue share in local markets. In this period, Scripps is afforded a competitive advantage by its low debt and good financial flexibility. We're not alone, but we are among the very fortunate. So sometimes, as we say, it makes sense to run toward the fire. Here are three examples: First, headcount in the Television Station division. We're racing to restructure our newsrooms so they can deliver lots more valuable content 24 hours a day across multiple platforms. In many of our markets competing stations are cutting local news resources. Instead, we're redeploying our people to actually increase the amount and quality of local news content. Additionally, we're entering partnerships with other local stations so we can more efficiently gather commodity content and then use our talented people for enterprise reporting that builds audience. Brian Lawlor will talk more about that a little bit later. Second, we're investing to broaden the TV Station's reach on the Internet and other digital platforms, including mobile. Some of that investment is for infrastructure, but it also includes content that never appears on air. These are important new revenue streams, especially in tough economic times. Third, we're spending some money to examine the newspaper business model. This is very serious. It's way too early to make any promises, but our recent experience as a member of the Yahoo! Newspaper Consortium leads us to believe there is much more that can be done to simplify the business model and take advantage of scale. This is not easy and any changes will take time and money to implement, but we're very determined. Finally, one other point. We're also protecting our Internet investments in the newspaper markets. We're making progress, the incremental revenue is growing, and we don't intend to let slip away our position as the leading providers of local news and information. We plan to hold our lead and hopefully to expand. Bottom line, these are very difficult times. Ad revenue declines of 20% in any quarter is a dead serious challenge, but this is also a season of opportunity for those with conviction and some resources to work with. At Scripps we have both and intend to use them for the benefit of our many stakeholders. Now here's CFO Tim Stautberg to walk you through the numbers.
Tim Stautberg: Thanks, Rich, and good morning, everyone. As you read in the press release this morning, our revenue in the first quarter came in at $205 million, which was 20% lower than in the first quarter of 2008 but in line with industry peers. Unfortunately, there was nowhere to hide during the current storm, as declines in both local and national advertising accelerated. We reported a loss from continuing operations for the quarter that included several nonrecurring items I'd like to highlight. First, we recorded a preliminary non-cash charge of $192 million after-tax to writedown the carrying value of the goodwill and other intangible assets at our TV Station group. Now due primarily to increases in the cost of capital for local media businesses and declines in our stock price and that of other publicly traded television companies during the first quarter, we determined that indications of impairment existed for our television goodwill as of March 31st. Under the two-step impairment testing process required by FAS 142, we then went through a preliminary valuation process and determined that the fair value of our television business did not exceed the carrying value of our television net assets as of the end of the quarter, causing us to writedown to zero the value of goodwill and making a small adjustment to other intangible assets. The second nonrecurring item is related to our newspaper interests in Colorado. As Rich mentioned, we were unable to find a buyer for the Rocky Mountain News and proceeded to close the paper at the end of February. As part of the process of exiting the Denver market we have agreed to transfer our 50% interests in both the Denver Newspaper Agency and Prairie Mountain Publishing to Media News Group later this year. The operating losses and wind-down costs related to our newspaper interests in Colorado amounted to $13.3 million after-tax in the quarter. During the first quarter we also made the decision to freeze our pension plan later this year. That decision caused us to record a non-cash curtailment charge of $2.6 million in the quarter, again after-tax. Excluding these three nonrecurring items, the net loss attributable to Scripps shareholders would have been $13 million or $0.24 per share. Including these items the loss from continuing operations was $221 million or $4.12 per share. At our TV Station group total revenue was down 20% as the impact of the weak economy spread to most of our advertisers, especially our largest. Automotive advertising was down 46%, retail was off 17%, and our services category was down 18%. We're also on the wrong side of the political cycle, attempting to replace nearly $3 million in political advertising garnered last year. On the upside, our efforts to capture business from new customers, those who are new to TV or who have not advertised in our markets for the past 12 months, was up nearly 5%. And our drive to strengthen our stations' websites continues to show success, with a 17% increase in online advertising. Our expenses at the stations were up slightly compared with last year, driven largely by an increase in the cost of syndicated programming in key markets. Employee costs were higher due to a more than doubling of pension costs and the curtailment charge related to the freeze. Excluding pension and programming expenses total expenses were down 6% compared with the prior year period. Turning to our Newspaper group, all advertising categories declined by double digits. Classified, as you know, is the category that is most under siege these days. Within classified, both advantage and real estate were off 43% during the quarter and help wanted was down 66% from last year. Online advertising fell by $2.6 million or 27%, largely due to the sharp declines in the online ads that are tied to print classified. Online advertising that is independent of classified upsells - what we call pure play - continued to grow impressively, rising 30% during the quarter. Pure play is now about half our online revenue and growing at a steady pace due to the early successes of the Yahoo! behavioral targeting initiatives that we've talked about in previous calls. During the quarter our monthly unique visitors rose 30% year-over-year, which is a very encouraging sign. While total ad revenue dropped nearly 30%, circulation revenue held steady year-over-year, cushioning the total revenue decline for the quarter to 22%. Total cash expenses in our newspaper group declined nearly 10% in the quarter despite a doubling of pension expense and the curtailment charge related to the pension freeze. Excluding pension-related expenses, employee costs were down 15% due primarily to a 16% reduction in employees year-over-year. Despite a 27% jump in newsprint prices, our newsprint expense declined 15% due to a significant reduction in consumption. And good control over other cash expenses kept that category down 8% year-over-year. We still have a reporting segment in our release called JOAs and Other Newspaper Partnerships, although you're already familiar with the changes that will affect this segment. During the first quarter we reported a pre-tax segment loss of more than $21 million, which includes a full quarter of newsroom expenses and an accrual for the costs associated with shutting down the Rocky and exiting Colorado. Once the transaction with Media New Group is closed later this year, these results will move to discontinued operations for all periods presented. Before we stop and take your questions, let me address a few non-operating items. Capital expenditures in the first quarter were approximately $14 million and the full figure is now protected to come in under $50 million. For 2010 and beyond, the maintenance level for CapEx should be about $25 million a year. Early in the first quarter we borrowed an additional $12 million under our revolver to fund working capital for general corporate purposes and then capital expenditures tied to our Naples project, bringing our total debt to $73 million. But the $12 million increase in debt was eclipsed by an $18 million increase in cash and marketable securities thanks in large part to a March payment of $16 million from Scripps Networks Interactive, reimbursing us for their share of taxes we paid in the third quarter. At the end of March we had $45 million in cash and marketable securities on our balance sheet. We talked a little about the pension plan in our February call and I'd like to fill you in on the current status. As a result of the plummeting equity markets last fall the asset value of our pension plans was $145 million less than our accumulated benefit obligations at year end. Consequently, our pension expense was projected to be roughly $45 million this year versus $15 million in 2008. As a result of the changes to our work force both in numbers and in projected compensation and our decision to freeze our pension plans later this year, our actuaries are now projecting that pension expense will be less than $30 million for 2009. From a funding standpoint we are not required to make any cash contributions this year to our defined benefit pension plans and based upon our current actuarial assumptions and the IRS guidance regarding funding calculations, we do not anticipate a contribution being required in 2010. Now that could change if interest rates or the return on plan assets differ from what we've assumed and there's always a risk that the pension funding rules will change, but we're encouraged that it may be 2011 before we need to begin making cash contributions to our defined benefit plans. For more than a year we've told investors that 2009 would be one of the most difficult periods in the company's history. With a plant to be completed in Naples, with newsprint near historic highs, with no political advertising on our TV stations, we knew this would be a tough stretch even if the economy was stable. The results of first quarter validate those warnings. We don't see activity in our markets that would allow us to boldly call a floor to the country's economic difficulties, so we continue to navigate 2009 with a combination of short-term discipline and long-term optimism. With that let's open up the lines for your questions.
Operator: (Operator Instructions) Your first question comes from Alexia Quadrani - J.P. Morgan.
Alexia Quadrani - J.P. Morgan: My first question is in the Newspaper business, if you look at the different regions you participate in, are you seeing signs of maybe stability or bottoming out in certain regions? Is Florida still the worst area? And then on the Broadcast side of the business if you can maybe talk about forward pacings, what you're seeing there.
Rich Boehne: We'll let Mark talk about the Newspapers first and then Brian will talk about TV.
Mark Contreras: Alexia, Florida, as you know, kind of went into things first. I don't want to say or signal that they are out of the difficulties that they've been in, but I guess the best way to characterize them is that the entire group is performing similarly and so Florida doesn't stand out like a sore thumb like it had in quarters and years past. I hope that's helpful.
Brian Lawlor: And on the broadcast side I would tell you that Florida continues to struggle. The challenges that we've had in that market are probably slightly greater than the profile of the rest of our group.
Alexia Quadrani - J.P. Morgan: And general pacings just across Broadcast - are things looking just as bad, I guess, in April/May?
Brian Lawlor: Yes, to be honest with you, they're pacing kind of in line with the way they paced in first quarter. And, you know, with the business breaking differently we're seeing much different habits. Business is coming in much later than it has in the past, but I would say that the second quarter pacing reflects a similar trend to how we saw things going in the first quarter.
Alexia Quadrani - J.P. Morgan: And then just a quick question on your online business in general. You mentioned in the prepared remarks or in the release that online advertising was down, but if you exclude the advertising associated with the print product you are seeing some pickup there. Is there certain verticals - I assume it's in the retail sector that you're seeing pickup in the online business, is that correct?
Mark Contreras: Probably the biggest place where we're seeing growth and the biggest contributor to that 30% growth in pure play is behavioral targeting with our Yahoo! partnership. All of the verticals - auto, real estate, help wanted even - are down, but our ability to sell behavioral targeting has really caught on with our advertisers and particularly with our sales forces. We compete in the consortium with other companies - we're members with other companies, I should say - and we're very proud of the results that we've driven so far. We're kind of at the top of the consortium in terms of gross dollars sold in that. So that's really what's driving the pure play number the most.
Operator: Your next question comes from Craig Huber - Barclays Capital.
Craig Huber - Barclays Capital: Can you give us an update of how April is trending - or trended, I should say - for newspapers, how April was? Was it similar to the first quarter? I realize there's an Easter effect in there, but can you normalize for that?
Mark Contreras: Slightly better on the revenue side, but no great shakes. And we're going to get the full benefit in the second quarter of the expense actions that we took in terms of the 401(k) match and particularly the salary reductions. So we anticipate expenses to get a couple of points better in April and we're hoping that that continues throughout the rest of the year.
Craig Huber - Barclays Capital: And then also on online, can you just in total for online, what was your total dollars online - you said [inaudible] was your total online TV revenues, please, in the quarter?
Mark Contreras: For Newspapers we were about $7.3 million for total online advertising for Newspapers. About $3.3 million of that was pure play and then the remainder was combo.
Brian Lawlor: And on the Broadcast side our online revenue was just under $1.5 million for the quarter.
Craig Huber - Barclays Capital: And then also in the quarter if you could just break out, in total, how did online help wanted, auto and real estate do year-over-year?
Mark Contreras: Craig, I'm going to have to dig those up for you and get back to you, if that's okay.
Craig Huber - Barclays Capital: My last question if I could sneak this in, in your Newspaper division, excluding newsprint and these one-time items, how much are you saying non-newsprint cash costs were down? Are you saying it's down mid teens?
Mark Contreras: Well, I didn't calculate it without the pension, but just non-newsprint cash expenses - your regular question - was down 7.5% and we'll calculate for you what it is without the pension. Pension expense for us in the first quarter was about $5 million, so we'll re-calculate that for you.
Operator: Your next question comes from John Kornreich - Sandler Capital.
John Kornreich - Sandler Capital: In the $44 million of cash and short-term investments, $34 - $35 million is short-term investments. What is that exactly?
Tim Stautberg: We invest those in short-term money market funds, mutual funds.
John Kornreich - Sandler Capital: Okay, so there's no equity securities in there?
Tim Stautberg: No. No, no, no.
John Kornreich - Sandler Capital: And I'm a little confused on the pension expense, which you now think maybe $25 to $30 million. Is the pension expense a cash expense?
Tim Stautberg: No.
John Kornreich - Sandler Capital: I didn't think so.
Tim Stautberg: No, that's just the reported expense running through the P&L separating the funding. So I'm trying to be clear about that on the call and in our financial statements. And we'll be filing the Q shortly with more details.
John Kornreich - Sandler Capital: Now I want to try to trap you into an answer which you may not want to give. Your CapEx will be $50 million, your net interest expense - your net debt is about $30 million; it can't be more than $2 or $3 million - and taxes will be de minimus in a year like this. Do you expect to have free cash flow this year?
Tim Stautberg: I'd say that as we headed into this year we did, and so we'll see how the rest of the year plays out.
John Kornreich - Sandler Capital: I'm excluding the nonrecurring stuff.
Tim Stautberg: Yes. Yes, that's right.
John Kornreich - Sandler Capital: Okay, so it's tight one way or the other.
Tim Stautberg: Yes.
John Kornreich - Sandler Capital: Next, retransmission revenues alone in the first quarter were what?
Tim Stautberg: I believe those were maybe $2 or $3 million, John.
John Kornreich - Sandler Capital: So $10 million or so is a good number for this year?
Tim Stautberg: $9 million.
Mark Contreras: Craig, this is Mark. We got the non-newsprint cash expense number for you. Excluding pension expense, it's down 14% Q1 this year to Q1 last year. And I'm working on the other stuff for you, too.
Operator: Your next question comes from Barry Lucas - Gabelli & Company.
Barry Lucas - Gabelli & Company: A couple of items, if you could. What was the cash impact - I'm looking at the charge related to JOA - but what was the cash impact in 1Q and how does that look going forward if you're accruing losses until the closing with Media News?
Brian Lawlor: First quarter operating losses at the Rocky Mountain News in terms of newsroom expenses was about $6 million and then we've accrued and will likely pay in the second quarter another $12 or $13 million. You know, the newsroom, we paid those folks through the end of April and then just severance and related wind-down costs are probably another $9 or $10 million. So all in, another $12 million in the second quarter for a total of about $20 million.
Barry Lucas - Gabelli & Company: And after the second quarter we won't see a cash impact from the paper, then?
Brian Lawlor: We don't expect that.
Barry Lucas - Gabelli & Company: If we switch gears to TV, you mentioned that programming costs are up and that you've got an investment in the newsroom as you try to expand your presence, particularly on the Internet. Others in the space, as you rightly pointed out, have cut expenses in television pretty dramatically across the board, so maybe you could just talk a little bit more and drill down on the variance and in particular where do you see programming costs going forward?
Brian Lawlor: You identified programming and that is one of the areas that we've shown a significant expense increase this year, up 12% in the first quarter. The reason for that expense is that we had some programming on several of our stations a year ago that was barter only, Martha Stewart being the biggest of that, and we made a conscious decision to move to some other programming that we thought would perform better for us, but it had cash expense. So that would relate to why we have such a significant increase there. And I do expect that programming increase to continue through the year. That'll catch up in September, but then we've made an investment in five of our markets for Dr. Oz for next year, so we will have programming increases all over the year. We have been disciplined as it relates to our expense, the way we're managing expense. We've had salary reductions among senior managers; we've eliminated bonuses in many of those cases. We've had a freeze on open positions. We've had a significant reduction in overtime. We've strictly managed travel and all operating. And so overall if you took out the pension and the programming expense, our expenses were minus 6% for the quarter.
Barry Lucas - Gabelli & Company: One follow up on TV, if I may. Auto receivables, particularly Chrysler, how much of a hole might you be in?
Tim Stautberg: Our exposure is not great, about $300,000.
Operator: Your next question comes from [Alfred M. Anderson - Anderson Family].
Alfred M. Anderson - Anderson Family: Good morning. I'm talking to you from Washington. I have a couple of questions. The first one is Rich mentioned something about spending some money to look at the Newspaper business model and I was wondering if first he could explain to me a little bit more in detail what the scope of that study is going to be, what sort of results are expected, and secondly, how much money is going to be expended on it?
Rich Boehne: Hi, Mr. Anderson, this is Rich. Yes, as I said, coming out of our experience with the Yahoo! consortium and then some other efforts, we really do believe that one of the challenges the newspaper industry has is completely duplicating its costs market after market after market, and it's a business that has not traditionally taken advantage of scale in expenses or in activities that don't necessary directly touch a reader or an advertiser. So, yes, we've set back and are spending not a great deal of money so far but a little bit, but an awful lot of time and effort to see if we can find a way to simplify that business model. And the results of that are some months out from here yet. It's a big effort. But we're very serious in believing that we have to take a look at the fundamental business model that sits behind the newspapers. I'll let Tim and Mark, if they want to say anything else about it because they're right in the middle of it.
Mark Contreras: Alfred, this is Mark. I just would caution we're in the middle of a pretty comprehensive study and we're internally calling it Project Simplify, but the idea is to eliminate the complexity embedded in our business. A quick example: We have lots and lots of advertising rates across all of our markets. Probably given the environment and the complexity of those, we don't need to have all those; same thing with circulation, same thing with all of the internal workings of a paper that really a reader or an advertiser really doesn't care much about. So that's the essence of the project that we're working on. When we have conclusions from that and when we have specific tangible results from that we'll get back to you with specifics, but right now I think we're too early in the process to give you anything but the bare bones outline of what we're after.
Alfred M. Anderson - Anderson Family: Thank you. I'd like to ask one more question and that is I've noticed that there was a considerable grant of options in early March and I'm wondering if - they're obviously meant to serve as an incentive to the management to perform well in the future, but I'm wondering if you have any sort of incentive plan for the editors of the various newspapers and television stations, the managers, and whether you have any specific incentives for the advertising managers at each of your newspapers or TV stations?
Tim Stautberg: Sure. I'll let Mark talk specifically, but let me say a little bit just generally. The approach to the company has always been at trying to incent long-term good performance, so we have always leaned more toward equity than we have toward cash. And especially in this period all of our managers have taken large pay cuts; most of them did not receive bonuses, and we have dramatically reduced our bonus opportunity across all managers in the company and feel that short-term that's the right thing to do from a cash standpoint. But we still do believe we have to try to incent people for the long term, so we're using those options. I'll let Mark talk about how they come down.
Mark Contreras: Alfred, yes, I would just add that we're having discussions this year, really re-thinking our entire compensation structure for publishers, for ad directors, for editors, and we're again in the middle of those re-thinkings. One of our core beliefs is that if you build audience, both in print and online, that's going to deliver value and that will be one of the kind of pillars of what gets built in terms of a new incentive plan for '09 and going forward.
Operator: Your next question comes from Craig Huber - Barclays Capital.
Craig Huber - Barclays Capital: Historically if you just think about Denver, for years and years your company's management was hopeful that the Denver operation would turnaround and, of course, it didn't and obviously the economy reeled this whole thing out of control. Do you have any other markets for a number of quarters here that have not made money or close to it as you've kind of reevaluated what went wrong in Denver that you apply to other markets and think perhaps I have some other markets here with newspapers or TV stations that may not recover here and perpetually could be losing money? Do you have anything like that right now that you potentially could shut down other markets in the next six months to help your free cash flow, EBITDA?
Rich Boehne: The good news is the answer to that is no. Denver was a truly unique situation, not just with Scripps but in the newspaper industry, with a joint operating agreement with two mornings newspapers, a fair amount of debt there, and it's a large market suffering all the ills of large markets. So that was a decision that was made that really would enable the rest of our markets to have a much better time through the recession and then beyond. So luckily, as we say, we've got low debt, good financial flexibility and across the board for the most part we're in good markets that we think over the long terms should support good, strong local media businesses on a lot of platforms. So, I mean, we're not afraid to make hard decisions, as should be obvious by what we did in Denver, but at this point thankfully we don't see anything quite like that coming in the near future.
Craig Huber - Barclays Capital: And then also just a nitpick question. As you look at Newspapers back here in the first quarter, was there much difference between the year-over-year percent change for January, February or March or were they all pretty similar to the overall quarter in ad revenue?
Mark Contreras: Not really. It was just a cavalcade of fun every month. It was just not terribly different month-by-month. I do have a follow up for the previous question that you asked for online by category. Help wanted for online was down 54%, real estate in the quarter down 16%, auto down 39%, and other down 2%. And again, that's just the online revenue by category.
Craig Huber - Barclays Capital: You said other down 2%?
Mark Contreras: Other down 2%.
Operator: Your next question comes from John Kornreich - Sandler Capital.
John Kornreich - Sandler Capital: Three quickies and then I have a suggestion for you and if you follow it up aggressively I want a 5% commission. But first three minor questions. On the programming expense, what's the outlook for 2010? Could it flatten out?
Mark Contreras: I think 2010, the increases will not be as significant as this year, but because of our commitment to Dr. Oz we will be showing programming expenses through 2010.
John Kornreich - Sandler Capital: In Albuquerque, just curious, what's the surviving newspaper and who owns it?
Rich Boehne: That's owned by the Lang family and what we have today is just an interest in the cash flow. And we do have some rights and participation in the partnership, but it's owned and controlled by the Lang family.
John Kornreich - Sandler Capital: On unit circulation, can you give us a flavor of daily and Sunday? I know the revenue was flat. I assume it was price increases, less unit declines. Could you just give us an idea on daily and Sunday what was the magnitude of the declines?
Mark Contreras: For copies?
John Kornreich - Sandler Capital: Yes.
Mark Contreras: About 2% daily, John, and 1% Sunday.
John Kornreich - Sandler Capital: So that's pretty good, very good. Suggestion: I'm always hearing from newspaper companies about their quote-unquote unduplicated reach - 72%, 79%. You know, we have just tremendous reach, especially among unduplicated upper demographics. If that's the case, why can't you guys get some real meaningful political dollars? Political, by my calculation, on an average annual basis - average - is now TV's third largest category. You guys are nowhere.
Rich Boehne: John, I'm going to kick this one to my partner, Brian, because we have talked about that and we do have plans coming up to address that.
Brian Lawlor: And, John, I don't want to disclose too much, but it is something that Mark and I are talking about within our Broadcast division. We've got a strategy that we execute on the political side and we're going to be increasing our commitment to our political focus and I think there's an opportunity for us to include Newspaper within that strategy.
John Kornreich - Sandler Capital: I mean, especially on the Newspaper side, where you're so heavy in Florida, which is always a battleground. It's a perfect fit.
Rich Boehne: Without the 5%, thank you very much.
Operator: Your next question comes from Scott Davis - J.P. Morgan.
Scott Davis - J.P. Morgan: Two questions, actually; the first is on the Broadcasting side. Are you seeing signs of national spot buyers kind of poking around given that the pricing on the local side has been probably decimated more than at the network side, so maybe the arbitrage is changing a little bit?
Brian Lawlor: You know, national is relatively weak, as is local. I don't see a dramatic change between the two. However, I do see some new entrants on the national side that had not been there that I do think are taking advantage of the pricing opportunities that are probably new to us this year.
Scott Davis - J.P. Morgan: Would you expect that trend to continue? It depends on who's holding price and who's not, I guess, at the local level, right?
Brian Lawlor: Correct. And yes, I would expect that trend to continue.
Scott Davis - J.P. Morgan: And then my second question was you've mentioned a few times the behavioral targeting aspects of the Yahoo! consortium and I guess I'm wondering, I mean, Yahoo! is obviously quite pleased with the consortium as well and the we sell/you sell and it seems like everyone's been pleased since the beginning, before Yahoo! turned on behavioral targeting specifically because they have other things that they bring to the table that presumably is good for everyone. So I guess I'm curious with the [inaudible] increasing that behavioral targeting might not be possible in the same way in the coming year because consumers might ask to opt into it instead of opting out of it, you know, just given some of the talk down in Washington. What would your view be on continuing with the consortium, how much of an impact do you think that would have if the behavioral targeting specifically was taken out of it?
Mark Contreras: We're very attuned to the discussions related to - particularly some of the Federal Trade Commission's thoughts - opting in and opting out. They, as you know, as recently as December issued guidelines which prescribe voluntary compliance to behavioral targeting practices by Yahoo! and other large pure play companies. At the moment Yahoo! did change their practices and only stores, I think it's 90 days' worth of personal data and that complies with what the FTC rolled out. So we're going to stay very close to the national debate, we're going to make sure that we understand what that is, but the way to think about our exposure and our experience with behavioral targeting is that we're basically in the first pitch of the first inning of this game and whatever results and however pleased we are right now we anticipate improving as time goes on. But I don't at the moment see in '09, for example, the regulatory environment getting terribly more constrained than it already has been.
Operator: And, gentlemen, no further questions in queue.
Tim King: All right, John, we appreciate your help. Thanks, everyone, for joining us on the call.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.